Operator: Good morning. My name is Teresa and I will be your conference operator today. At this time, I would like to welcome everyone to the BlueLinx Fourth Quarter Investor Relations Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions] Thank you. Ms. Natalie Poulos, you may begin your conference.
Natalie Poulos: Thank you, Teresa. And good morning everyone. We appreciate you joining us the BlueLinx fourth quarter 2016 earnings conference call. This call is being webcast on the company's website at www.bluelinxco.com. The earnings release and presentation slides for this call can be found in the Investor Relations section of the company's website. Joining us on the call today are Mitch Lewis, Chief Executive Officer and Susan O'Farrell, Chief Financial Officer. I will also remind you that this presentation includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about our future operations and financial performance. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from those provided, including, but not limited to those identified in our press release and discussed in our filings with the Securities Exchange Commission. Forward-looking statements speak only as of the date of this presentation and we undertake no obligation to revise them in light of new information and today's presentation includes references to non-GAAP financial measures. With that, I'll turn the call over to Mitch.
Mitch Lewis: Thanks, Natalie and good morning. We’re happy to be able to report another good quarter at BlueLinx. We had net income for the quarter of $10.4 million, which is our best fourth quarter since 2009. Our net income for the year was $16.1 million representing our best financial performance since 2005. Our adjusted EBITDA also reflected our continued progress in the fourth quarter as we made $5.7 million, a $1.5 million improvement from 2015 levels. Our full year adjusted EBITDA of $36.4 million was $11.6 million better than our 2015 performance. Our progress continued at BlueLinx as the fourth quarter of 2016 was our sixth consecutive year-over-year quarterly improvement in adjusted EBITDA. In addition, when you consider the lost sales associated with the facility closures and product exits that took place earlier in the year, our same-center sales revenue improved in the fourth quarter by 12.9%. This tracks relatively close to the single family housing starts which improved in the United States by 12.5% for the quarter. We also feel good about our continued progress with our strategic priority to reduce the company's leverage. Our team has been relentlessly focused on this strategy and I want to thank them for their fantastic execution in 2016. The reduction in our debt from the end of 2015 by approximately $84 million while improving our adjusted EBITDA by over 45% from 2015 level facilitated the extension of our ABL in the fourth quarter and also helped provide the economic stability we now enjoy so that we can focus on the day to day management of our business. Susan will discuss in detail our efforts to reduce debt in 2016 as well as the continued deleveraging activity that we are undertaking. As I discussed on our previous call, we began to significantly invest in enhancing our sales and marketing efforts in the fourth quarter of 2016. In addition to the electronic tools we implemented in 2015 which enabled our sales teams to proactively support our customer base we established the sales excellence support team late last year. This team has begun to train all of our approximately 400 sales associates on the contemporary best selling practices. We're determined to provide the tools to elevate our sales force as we enhance our value added selling capabilities while partnering with our customers to maximize their profitability and returns. Our sales excellence team also has several associates who are dedicated to analyzing our pricing throughout the organization to support the local decisions we make relating to product choices, delivery decisions and customer support. We continued to gain momentum in this area as evidenced by the improvement in our gross margins that we enjoyed in 2016. We are also now relentlessly focused on improving and enhancing our supplier relationships. We recognize that our success is predicated on the success of the suppliers we support. We've elevated our commitment through enhanced communication, time and resources. We're committed to growing the business of our key suppliers and partnering with them to ensure that they achieve their volume and profitability objectives. Many of you may be aware of the increase in commodity prices we have seen over the last several weeks. The uncertainty regarding the political landscape and its impact on potential tariffs appears to have influenced an inflationary trend in certain product categories. We've recently seen price increases in several core categories, including lumber panels, rebar and engineered wood products. The uncertainty surrounding the Canadian softwood lumber agreement in particular has helped fuel a 13% increase in the U.S. lumber composite index since the end of December. While inflationary pressures typically result in higher margins in the short term, the BlueLinx team closely monitors inventory levels to minimize the impact of a rapid deflationary environment in the event product pricing quickly falls. 2016 was a year in which we saw a significant improvement at BlueLinx in several key areas. While we've made great progress our team understands that it is still early in our transformation. Over the last two years we have successfully executed our strategy to move towards a local market emphasis. Two and a half years ago, approximately two-thirds of our general managers who were responsible for the local P&Ls across the country were located in either Atlanta or Denver. Today over 90% of our general managers reside in their local markets. We've also worked hard and executed on our initiatives to improve the balance sheet and we've made difficult decisions relating to products, customers, associates and locations that have helped our adjusted EBITDA improve dramatically since we began this journey in early 2014. Now we are pivoting the company to strengthen our partnerships with our customers and suppliers while deploying additional resources to focus on opportunities in markets where we are under penetrated. I am convinced that scale will increasingly matter in the building products wholesale distribution channel. BlueLinx is fortunate to be one of the largest wholesale distributors in the markets in which we compete. It makes us more valuable to both our customers and our suppliers as we can provide comprehensive solutions to reduce their supply chain costs and of course it affords internal economies of scale that we will continue to capitalize on. 2016 was a much improved year for BlueLinx in many ways but we are just getting started. With that said, I'd like to turn it over to Susan who will walk you through our financial performance for the fourth quarter in greater detail. 
Susan O'Farrell: Thanks, Mitch and good morning everyone. It's a pleasure for me to speak with you today and to review our fourth quarter and year to date business results. So on Page 7, let's review some of our highlights before we get into the more detailed review of our results. As Mitch just mentioned, we continue to focus and advance on our strategic initiatives and we're very pleased with our results to date. In 2016 we closed certain facilities and rationalized our inventory which we refer to our operational efficiency initiative. In addition, we have executed well on our real estate monetization effort. With the sale of three previously closed facilities during the fourth quarter we continue to make terrific progress towards paying down our mortgage. Even with the impact of our strategic initiatives, net sales were $421.7 million for the quarter. When excluding our operational efficiency initiative, our net sales were up $47.7 million or 12.9% from this time a year ago. Additionally, our adjusted sales volume increased 12.4% from the prior fourth quarter led by double digit volume increase seen in both our specialty and structural product categories. When we look at fourth quarter performance, gross margin increased by 40 basis points to 12.4%. As Mitch previously shared, we continue to execute on our local market strategy and as a result we are realizing higher gross margin. We also had net income of $10.4 million with earnings per share of $1.14. Adjusted EBITDA was $5.7 million which is up 36.7% from the same period a year ago. We are delighted to see this continued year over year improvement in our fourth quarter adjusted EBITDA results. Our debt principal balance is down $84 million from the fourth quarter 2015. This is significant progress on our deleveraging initiative. Our mortgage principal is down $41.4 million and our ABL debt balance is down $42.6 million from a year ago mainly driven by our working capital efficiencies which we will discuss in further detail in just a moment. Moving to Page 8, we’ll highlight our year to date performance. Sales for the year were $1.88 billion. When excluding our strategic operational efficiency initiatives, net sales were up $107.8 million or 6.6% for the year, and our adjusted sales volumes were up 8.4% from 2015 levels. Additionally gross margin was 12.1%, that's our highest year to date annual gross margin on record for BlueLinx. And when excluding our closed facilities and inventory rationalization effort, adjusted gross margin was even higher 12.5% for the entire year. We're very pleased to report net income of $16.1 million, our highest year of net income since 2005 with earnings per share of $1.77. Additionally, adjusted EBITDA for the year was $36.4 million, an increase of $11.6 million or 47% from fiscal 2015. This is our best full year to date of adjusted EBITDA since 2007. Our trailing three months cash cycle days had seen an improvement as well. For the fiscal fourth quarter 2016 our cash cycle days totaled 53 days, an 11 day improvement compared to the fiscal fourth quarter 2015 and a 16 day improvement from fourth quarter 2014. Our operating working capital also improved by $57.5 million. This improvement primarily reflects our improvements in working capital components, including a decrease in our inventory of $36 million and a decrease in receivables of $12.7 million. We continue to work hard on improving our working capital processes and are pleased with the progress we've made. All the while we're staying keenly focused on our inventory stock and ensuring we have the just in time inventories our customers need. With the working capital efficiencies we’ve gained to date we are pleased to share we’ve had over $63 million in excess availability under our revolver which is up 20% from the year prior and based on the qualifying inventory and receivables levels at year end. With lower working capital on our revolver and an interest-only mortgage, not only did we incur less interest expense of $2.4 million during the year but we continue to pave the way for a leaner, more capital efficient BlueLinx. Moving to Page 9, I will now discuss the improvement we’ve seen in our gross margin. GAAP reported gross margin was 12.4% for the quarter, an increase of 40 basis points from the prior year quarter and 12.1% for the year, an increase of 50 basis points from 2015 levels. When excluding our closed facilities and inventory rationalization efforts, adjusted gross margin increased 70 basis points for the year when compared to 2015. On Page 10, with our strategic priority on reducing leverage, we are pleased to share the benefits we continue to wreak from our real estate monetization plan. With the sale of several closed facilities during the fiscal year we generated over $36 million in gross proceeds, we were able to significantly reduce our mortgage debt in 2016. At the end of our fiscal year July 2017, mortgage obligation payment remaining was $27.2 million and we are now well on our way. Since December 31, we've already generated an additional $8.9 million in proceeds from three real estate deals to pay down that mortgage. That includes just yesterday closing on an unoccupied facility located in Virginia Beach, Virginia with additional proceeds of $3.1 million. Furthermore we are now under contract for the sale or sale leaseback of additional properties that will enable us to fully meet our July 2017 obligation. And while there are always risks in any deal closings, we are very excited about getting this ball over the goal line. In conclusion, I'd like to thank our BlueLinx team for their hard work and effort which resulted in record results. And of course special thanks go out to our customers and suppliers for their continued partnership. And now Teresa, we’d like to open it up for any questions we may have at this time at this time. 
Operator: [Operator Instructions] And your first question comes from Marc Stern with Northport Investors [ph].
Unidentified Analyst: Guys, congratulations on a good quarter. I was wondering if you guys are counting on a one-time accounting gains from reversing the writedowns on defunct properties held for sale. 
Mitch Lewis: So just to make sure I understand the question, you're saying the differential in the book basis of the real estate versus the sales we've had from properties that we've exited, is that the question?
Unidentified Analyst: That's the question, yes. 
Susan O'Farrell: Marc, thanks for the question. No, we're not anticipating that. So we plan to move different properties in short order and you won't see a reversal. We don't anticipate one at the time.
Unidentified Analyst: My second question is, on the SG&A is up $2 million quarter to quarter comparison and can you provide me with a better description of exactly what adjustments were made to the real numbers excluding the effects of the operational efficiency initiatives? 
Susan O'Farrell: So as we look at SG&A we look at things as it relates to operating with our volume. So we have within SG&A includes our logistics expenses, so as our volume increases we also have our operational expenses go within there. Additionally we also have our short term incentive programs accrue within there. As you might imagine with a record and banner year like we had, we’re also accruing for additional expenses for our team. So the operational and logistics costs for the increased volumes that we're serving as well as the banner year that we've had. 
Unidentified Analyst: Excellent, and finally are you guiding us to project significant gains, profit improvements for 2018, for example, in the line of $6 million?
Mitch Lewis: Marc, we don't give any guidance, I'm sorry about that but we don't give forward guidance. 
Unidentified Analyst: I tried, I remember that from previous calls. I gave it a shot. I gave it a shot of. 
Mitch Lewis: It is sort of a trump question, right? You were waking up this morning so you didn’t catch it. 
Unidentified Analyst: I tried to catch it -- thank you guys very much and congratulations. 
Operator: [Operator Instructions] Your next question comes from Alan Weber with Robotti Advisors. 
Alan Weber : Good morning. Can you -- you made a comment about scale being more important. Can you just talk about that because actually the company stance is smaller today than it was a few years ago? So if you just talk about that comment and why you think becomes more important going forward?
Mitch Lewis: Yes, I think the reason I have a lot of conviction and that's important is because of the consolidations that are taking place in the marketplace. And so the supply basis has consolidated tremendously after the economic downturn, we're seeing more of that happening in the traditional customer base for BlueLinx which is the independent lumberyards. And so what we're starting to see now is consolidation that's taking place at the wholesale distribution level. So for example, a company was sold in 2016, there are certainly rumors out in the marketplace that there are two or more of our competitors that are for sale. And so my view is that there's a good probability that as we look back three years from now we're going to see a much more -- a much smaller and less fragmented supply chain. So I think the fact that we're at the scale we are now gives us the gravitas within the industry both from a customer standpoint and a supply standpoint to compete effectively. 
Alan Weber : And then just when you -- because you've had the sale of facilities you've gotten out of markets, are you expecting working capital to be a source of cash again this year? 
Mitch Lewis: That sounds like a forecast question -- I would add -- let me answer -- let me answer this way, Alan. It is something that we are -- it is a strategic emphasis of this company that we're de-leveraging the company and the organization understands what that means and that's reducing debt and that's increasing EBITDA of the business. So we have a much better processes in place than we certainly had two years ago as it relates to managing our working capital, it is a key emphasis for the business and we also operate under a core value of continuous improvement. So we look at everything we do and certainly feel like there remains significant opportunity of BlueLinx, really in every way that we operate the business. 
Alan Weber : And then I guess my last question was -- if you continue to have some improvement in gross profit percent, again at some point it becomes an apples to apples to less discontinued. When you're in that spot, how do you think about the incremental SG&A relative to the growth of gross profit?
Mitch Lewis: Yes, so our view is that from a -- if you look at the fixed cost aspect of the overall business, what we have now is scalable and so that would mean that my expectation would certainly be that we get enhanced efficiencies on a criminal volume and margin on that the company has and you get that on the fixed overhead cost, then you also get incremental efficiency zone on some of the variable costs obviously as you -- for example your fleet becomes more efficient, your operation at the facilities become more efficient. So the expectations would certainly be that we're not -- we would not be ramping up the SG&A anywhere close to the pace that we ramp up either our volume or incremental gross margin improvement. 
Alan Weber : I know you said only because if you look at -- again it's hard to really make a comparison because the closed facilities and sign of some facilities, but if you look at the incremental gross profit ‘15 to ‘16 and if you look at the SG&A the truth is SG&A went up more than the gross profit in absolute dollars. And that you're saying should be that really should not be going forward the case?
Mitch Lewis: Yes, absolutely should not be the case going forward. And again there's not -- there's a lot of noise in those numbers with the initiatives that we have, that you have acknowledged. 
Operator: [Operator Instructions] Our next question comes from Michael Scott with CHOICE Equities Capital Management. 
Unidentified Analyst: Morning everybody. Congrats on a nice quarter, starting to really the balance sheet initiatives come through on the financial statements. And I guess I had a question mostly on the volumes, look really good and particularly in comparison to recent reports from your peers. I'm just wondering if you can characterize what was driving that, perhaps relationship single family starts but if there was anything in terms of a price impact in there as well. 
Mitch Lewis: So from an overall market perspective, as I indicated it was actually as has been the case with the business pretty highly correlated to our single family housing starts again. There was some modest price across the board and season has -- some modest price appreciation but it was primarily I would say a result of the market as I’ve talked about we are in my view just beginning to get very proficient at fighting back now from some of the share losses that we've had over the last three to five years as the company was really focused on the balance sheet and getting our financial house in order. And we’re investing in that and I would expect us as an organization to outperform certainly going forward in the future but I would say the fourth quarter was as much more just quantitative to what was going on in the general marketplace. 
Unidentified Analyst: While there are a lot, maybe could you provide a little color on the return you're seeing on having general managers in the local areas and closer to their end customers. 
Mitch Lewis: Well, the EBITDA was up a lot in ‘16 versus ‘15. The margins were up a lot in ‘16 versus ‘15 and so I think the economic performance objectively is somewhat a result of that. But again it's still early days, in that -- it was one of the things when we look at the business early when I came in was, you could see a higher correlation of profitability and return on invested capital for those facilities that tended to have local management, which is intuitive, right? And so we are starting to see, I’d say, penetration in better relationships at the customer level and we’re getting enhanced confidence at the supply level -- at a local level, the all the stakeholders understand that, we understand the market and that we’re going to address the market being there. So where we have --- certainly in 2016 where we have local general managers that were not there, for example, in 2014 the performance was generally very much improved. 
Unidentified Analyst: And last one for me, and then I will drop off. It’s just on the interest expense which continues to come down or reflect lower leverage in total. Is that approximating sort of a decent go forward break or would you expect for it to continue to come down from the $5 million and change on the quarter going forward? 
Susan O'Farrell: Well, Mitchell, as you think about -- the things we’ve talked about which is we’re still selling through some of the real estate. So we’ve talked you before our mortgages, 6.35% mortgage, we sell through some of the real estate that implies lower mortgage interest rates and then as we continue to work on our inventory efficiencies and we’ve shared with you in the past some of our revolver balance, interest rates, we will get more efficient there too. So I think you can pencil through for yourself what you might see that coming down for, but we will continue to give you progress report each quarter on that business. End of Q&A
Operator: [Operator Instructions] And there are no further questions. Thank you at this time. 
Mitch Lewis: Thank you, Teresa and thank you. We certainly appreciate your continued interest in BlueLinx. And we look forward to sharing our first quarter results with you in the months ahead. 